Ignacio Arambarri: [Foreign Language] Good morning, ladies and gentlemen. First of all, we would like to offer a warm welcome to all of you who have joined us today for our 2023 First Half Results Presentation. As usual, we will follow the traditional format given in our presentations. We are going to begin with an overview of the results and the main developments during the period, given by the top executive team that usually is with us, Mr. Ignacio Galan, Executive Chairman; Mr. Armando Martinez, CEO and finally, Mr. Pepe Sainz, CFO. Following this, we'll move on to the Q&A session. I would also like to highlight that we are only going to take questions submitted via the web, so please ask your question only through our webpage www.iberdrola.com. Finally, being aware of the busy week of results you are having, we hope that today's event will last no more than 60 minutes hoping that this presentation will be useful and informative for all of you. Now, without further ado, I would like to give the floor to Mr. Ignacio Galan. Thank you very much again. Please Mr. Galan.
Ignacio Galan: Thank you, Ignacio, good morning everyone and thank you very much for joining the result presentation. In the first half of 2023, net profit reached EUR2,521 million, up 21% or 28%, excluding a non-cash provision related to Mexico transaction as Pepe will explain later on. EBITDA grew 17% to EUR7,561 million, mainly driven by higher investment in Networks and Renewables. The recovery of the retail deficit generated in previous year in the UK -- in United Kingdom and the normalization of renewable output and prices in the European Union and mainly in Iberia. We continue accelerating the execution of our strategic plan with investment no more than EUR10.5 billion in the last 12 months driving 10% increase in Networks Asset Base to EUR40 billion and more than 2,500 megawatt of new renewable capacity reaching 41,250 megawatt globally. We have also continued securing a diversified portfolio route-to-market. As of today, we have 135 terawatt hours contracted through PPAs and regulated mechanism like CFDs with an average duration of 12 years and with our retail customers in Iberia and the UK. As regard to our asset rotation and partnership plan of EUR7.5 billion has already been completed. The sale and purchase agreement for the transfer of 60% of our business in Mexico was already signed and we expect to close this transaction before the year-end. On top of these, just two days ago, we signed a new agreement with Masdar to co-invest in Baltic Eagle in Germany. Masdar has now taken 14% stake in this offshore wind farm. They will be fully operational next year. Operating cash flow reached EUR5.7 billion up to 21% increase including the impact of the collection of hydro canon in Spain, in the first half of the last year. This has led to a four-digit improvement of our financial ratios with FFO and net debt reaching 24.9%. We have also continued reinforcing our liquidity, which amounts to EUR20.3 billion after having issued EUR3.4 billion of new green financing in the last 12 months. As you know, last April, we had the Annual General Meeting with a quorum of 72%, an average favourable vote of 98% of our shareholders who will receive tomorrow the payment of our final dividend for a total remuneration of EUR0.501 per share, up 11.6% already above the dividend floor plan for 2025. As mentioned, EBITDA grew 17% to more than 7.5 billion, thanks to the strong performance in the UK, and European Union. Networks contributed 41% of the group EBITDA driven by higher asset base in all geographies with an overall growth of 10% year-on-year also the positive impact for an annual tariff increase in US, UK, and Brazil and in these last two countries, we also continue to benefit from the regulatory protection against inflation. Energy production and customer represent 59% of group EBITDA. The key drivers in this business were the normalization of renewable output and price in European Union as well as the cash recovery of the deficit accumulated over previous year and the improvement of the business condition in the retail activity in UK. Production and customers was also affected by the update of the parameters of the regulated regime applicable to certain renewable asset in Spain so called RECORE, which had a non-cash one-off impact of EUR86 million. As you know, this has no effect on the regulated profitability of these assets. Over the last six months, we have also made significant progress in the execution of our strategic plan. We increased our investment by 8% to reach EUR10.5 billion next year -- year-on-year, 48% of total investment were dedicated to Networks and 45% of Renewables. By geography, around 25% of the investment were made in Spain reaching EUR10.5 billion, driven by new renewable capacity followed by the United States with EUR2.5 billion, LATAM we've almost EUR2 billion and EUR1.5 billion were invested in UK and the remaining EUR1.5 billion in other countries, mainly offshore wind in Germany and France as well of onshore wind and solar in Australia. We expect investment will accelerate in the last month of the year, mainly in offshore wind and networks to reach between EUR11 billion and EUR12 billion by the year end. Networks investment were up 24% in the first half with increase in all geographies. As a result, our asset base reached EUR40 billion, a 10% increase year-on-year. Over the last month, we've also seen significant progress in implementation of our strategic plan with new tariff framework driving increases in investment in more geographies. In United States, a new rate case was already approved in Maine until June 2025, the first multi-year framework in many years with investment in line with our expectation and return equity above 9%. In New York, Avangrid filed a joint proposal together with staff to the -- of their regulator and other parties. Once approved tariffs will be applicable for three years with return on equity above as well 9% and an earning sharing mechanism. It will also increase investment reaching EUR6.5 billion in the five years from 2022 to 2026. The settlement which will be applicable in retroactive pump from May 1st also includes regulatory protection against uncollectibles. All-in-all, we expect our net operating result in Maine and New York to increase around 50% in the second half compared to the first half. In Brazil, new rate cases in Bahia and Rio Grande do Norte were closed in April until 2028 and the Sao Paulo tariff reviews already under public consultation and will be closed by August with effect until 2027. As a result, Neoenergia networks business operating result will increase around 7% in the second half compared to the first half. In the UK, a few days ago, we submitted to Ofgem the detailed figures for the Eastern link transmission project expecting final approval by autumn. With a total investment of -- for ScottishPower of GBP1 billion, it will gradually increase our asset base from 2026 to 2030 providing their returns of RIIO-T2 framework from the beginning of the construction. Finally, over the last weeks, Avangrid has progressed in the additional multi-billion transmission opportunities. In New York, driven by the climate change, the Climate Protection Act another project linked to its participation in the Transco joint venture with a total investment for Avangrid of around $3 billion until 2030. In New England, the company received full authorization to move forward on the construction NECEC interconnection project between Massachusetts and Canada and now we are restarting again the construction. In renewables, we have put in pay -- in service more than 2,500 new megawatt in the last 12 months reaching 41,250 megawatts of renewable capacity worldwide. Addition include 1500 of solar PV in Spain, United States, Brazil, Australia and Portugal, 900 megawatt of onshore wind in Brazil, US, Spain, Australia, Greece and Poland as well the first 14 offshore wind turbines of Saint Brieuc in France, totaling 112 megawatts in operation in this moment. On top of that, we are progressing in the construction of 7,100 megawatt the goodwill drive additional investment of around EUR12 billion, by geographies EUR4.5 billion will be allocated to project in United States including of offshore wind after different -- and different solar PV project. We will invest additional EUR3.5 billion in the UK mostly related to 1,400 megawatt East Anglia 3 offshore wind farm. Also in offshore wind, we expect investment in EUR1.3 billion in Germany mostly related to the Baltic Eagle wind farm, and EUR700 million in France corresponding to the final stage of Saint Brieuc I mentioned before. Iberia will receive around EUR1.5 billion in the period with the remaining investment located in different countries like Australia. 3,000 megawatt or 45% of this capacity under construction correspond to offshore wind project of all -- all of them progressing on track. In France, I repeat again, Saint Brieuc started producing clean energy with more than 3% of the jacket and one-third of the turbines already installed versus what was already reached three weeks ago. In United States, installation of monopiles and transition piece has begun on Vineyard Wind 1 project, and the export cable is now fully deployed, manufacturing of turbines is progressing and we expect clean energy will start flowing into the Massachusetts grid during the second half of the year -- of this year. Back in Europe, Baltic Eagle in German, our German operating in Baltic Sea continuous progression on track with monopiles and transition pieces already been installed. We expect to start installing turbines in early 2024 and to reach first explore by mid-year -- mid-next year. As highlighted during the first quarter result presentation, Baltic Eagle and Windanker have already secured sale of 100% of the production for 50 years at an average price around EUR80. In addition, we have around 3,800 megawatt of project secure. They will come online up to 2028 including Commonwealth Wind and Park City Wind in United States. For the first project, we have reached an agreement with the distribution companies of Massachusetts for the cancelation of the actual PPA driven by the very significant increase in costs since the project was auctioned. This will allow us to participate in new auction in the state in the future. In Connecticut, we are also negotiating to reach reasonable solution. We remain optimistic on moving forward with these two projects. Once operational will add more than 2,000 megawatt of renewable wind capacity in the United States. And these 3,000 megawatt of project under construction are secure, we obtained at zero seabed costs. On top of this, we have seabed rights for more than 10,000 additional megawatt in UK, United States for the end of this decade and early 2030. As a cost, this on average is only 5% of the price paid in recent action in our core markets. You know what I mean. In other words, thanks to our position as first mover in the industry, we have secured pipeline of project that will allow us to increase our capacity and obtain attractive return. Given our competitiveness against other project that we need to make profit with these 11 investment made in securing seabed. Market development over the last two years have demonstrated the relevance of a diverse portfolio of route to market. To provide a stable and predictable revenues and hedge fund of its own production. As of today, we have 135 terawatt hours contracted through per annum. Long-term PPAs and other regulated contract representing 70% of our sales with an average duration of 12 years with the remaining 30% directed to our portfolio of retail customer in the UK and Iberia with an increased average duration that is currently around three years. 90% of this energy more than 120 terawatt hours per annum is covered by our own production. In the last months, we have continued to see major development of our PPA activities. As mentioned, we have secured 100% of the production of our offshore wind project in Baltic Eagle and Windanker at competitive prices for 50 years on average with customers like Holcim. And we have reached new multi-country agreements with large global companies like Vodafone, joining corporation like Amazon, Meta, Heineken, Mercedes Benz and Renault. We -- who are choosing Iberdrola to secure clean energy at competitive price for different geographies. We believe that apart from providing visibility and predictability of revenues and long-term contracting strategy is also extremely positive for the system as it give pricing stability to industrial and commercial customers reducing their exposure to short-term price volatility and support a massive build-up of new renewable capacity. For the reason, we are firmly seeing that energy policy and regulation needed to continue promoting these long-term PPAs to the stable regulatory framework based on market mechanism. This was one of the pillars of electricity market reform published by the European Commission months ago. And very recently, the Industry Energy Committee of the parliament has also approved its proposal following the same principles. Baltics recognized the proper functioning of electricity market in the last years and it propose new measures to increase long-term contract and liquidity and to avoid distortion rolling out major market intervention. The proposal do not consider any cap to nuclear or renewable technologies and promote PPAs only allowing the implementation of voluntary CFDs with no retroactivity for the existing facilities. They also recognize the need to establish clear and common rules to define what constitute an energy -- an emergency crisis including sustaining minimum market price of EUR180 per megawatt hour. The Industry and Energy Committee also introduced measures to promote capacity mechanism flexibility open to new investment in existing facilities as well as specifically mentioned to the need for higher investment in networks to meet increasing demand and connect new renewables. All-in-all, these are balanced proposal in line with the suggestion from different industry association like Eurelectric or WindEurope. We expect the approval by the plenary of the Parliament in September, followed by the publication of European Commission Proposal and the beginning of fuel among the -- these three institutions. Our two listed subsidiaries Avangrid and Neoenergia presented their results yesterday, in the first, Avangrid EBITDA reached $1.3 billion with investment of $2.7 billion in the last 12 months. As mentioned, over last quarter, we have seen major progress in Avangrid rate cases in Maine and New York. In addition, the merger agreement with PNM Resources on New Mexico was extended at least until December 2023 with the potential of three additional months. In renewables, Avangrid has an opportunity to repower 4,600 megawatt from its current fleet to maximize the advantage offered by the Inflation Reduction Act. We are talking about installing more efficient turbines that will extend the useful life of our wind farms at half the cost of new asset with the same tax incentive. Avangrid is expecting to start work in the first 400 by the year-end. On top of that, the company continue adding new capacity of around 410 megawatt in the first half. In Brazil, Neoenergia EBITDA reached BRL6.3 billion up to June with around BRL9.6 billion invested in the last 12 months. Neoenergia completed the co-investment agreement with GIC in transmission receiving BRL1.2 billion for 50% of its operational asset. And the process for the renewal of concession for distribution companies continue with a positive outlook. In renewable, the company commission another 560 wind megawatts. Moving to asset rotation and partnership, we have already reached EUR7.5 billion including in our plan to 2025. Major development in the last quarter include the signature of sale and purchase agreement related to our Mexico transaction with expected closure before the year-end. And just two days ago, we announced a new co-investment agreement with Masdar for our 475 megawatt Baltic Eagle offshore wind farm, which is under construction in the Baltic Sea. Masdar will hold 49% stake in this asset. We are also progressing in our joint ventures for investment in renewable in the Iberia Peninsula with Norges Bank with the first operation announcement already transferred and with MAPFRE this large joint venture already has 500 megawatt in projects. In Brazil, part of the deal with GIC, we are also progressing in the swap of the stake in hydro asset with Electrobras. We are expected to close before the year-end. Our partnership with CIP and Shell in offshore wind also continue to moving forward as planned. And the joint company established with BP to promote electric mobility in the Iberian Peninsula is about to start operation. Most of the cash linked to all these deals will be received along the second half. This will improve even more our financial strength by year-end. Together with cash flow generation, which in the first half, reached EUR5.7 billion, up to 21% excluding the hydro canon collection in Spain last year. This has resulted in additional improvement of our financial ratios. FFO net debt increased by 20 basis points up to 24.9%. On 28th of April, we held our Annual General Meeting with a quorum of 72% and average favourable vote of 98% in our proposal which include corporate management and results matters related to corporate governance and sustainability system remuneration and changes in the Board of Directors. Let me take the opportunity to thank again all our shareholders for their involvement and support. Following the AGM, we recently announced a total shareholder remuneration of EUR0.501 per share, 11.6% up. This mean reaching already the dividend floor plan by 2025. As implemented a dividend of EUR0.16 (sic) [EUR 0.316] per share will be paid tomorrow. On top that interim dividend of EUR0.18 paid in February and the engagement dividend of EUR0.005 per share paid after the Annual General Meeting. I will now hand over to the CFO, who will present the Group financial results in further detail. Pepe?
Pepe Sainz: Thank you, Chairman. Good morning to everybody. Before entering into the numbers, let me point to two noncash impacts that need to be explained and affect the first-half results. First is the impact on our regulated renewables in Spain, the famous or the well-known RECORE. Price estimates for these technologies have been lowered by the government affecting 1.6 terawatt hours. And as a consequence, we had to account EUR86 million of negative one-off at the EBITDA level. This is a pure accounting non-cash effect that will be reverted during the regulatory life of these assets. So profitability of these assets is guaranteed at 7.4% regardless of their price level. From now on, this impact will evolve according to the referenced price level and the price curve. If the situation remains similar in terms of price outlook, similar to June, no new impacts will be expected in our accounts. With higher prices, this impact would be reduced and the opposite, if prices go down. And second, and more important, the Iberdrola Mexico reorganization. So after the announced divestment of our Mexican business for part -- sorry for part of our Mexican business for US$6 billion, assets and liabilities have been reclassified as held for sale. According to the IRES-12, we need to register the difference between the tax and the accounting value of the shares with a total EUR140 million negative impact at income tax level with no cash impact. The capital gain as we have announced will be significant and will be registered once the transaction is closed hopefully before the year-end more than offsetting or more than hopefully, we are expecting to do it before the year-end, more than offsetting this negative temporary impacts in our accounts. As the Chairman has explained, EBITDA was 17% up to EUR7.6 billion and reported net profit grew 21.5% to EUR2.5 billion, 28% up excluding the already mentioned EUR140 million tax impact of the Mexican transaction. FX evolution now has had a slightly negative effect on our EBITDA results, the dollar rose against the euro by an average of 1.9%, the real by an average 1%, but did not offset the 4.6% depreciation of the pound. Nevertheless, as it's usual, FX impacts are covered at the net profit level. Revenues increased 7.5% to EUR26.3 billion mainly due to the UK driven by higher tariffs and the full recovery of past SVT cost. Procurements decreased 2.9% reaching EUR14.1 billion and last year we had to buy electricity due to renewables and nuclear shortfall in Spain at a very high prices. This year, the situation has been reverted due to a normalized production. As a consequence, gross margin rose by 23% to EUR12.1 billion. Reported net operating expenses increased 16.6% to EUR2.9 billion or excluding EUR80 million of US pension one-off and a EUR100 million linked to reconciliation FX in the US that are recognized at the gross margin level and another minor impacts, net operating expenses increased 7.5%. Reported net personnel expenses grew 16.9%, but excluding US pension, the positive one-off that we have mentioned, the reconciliation impacts and other minor items, they grew 6.5%. Reported external services increased 11% but 6.8% excluding reconciliation impacts that we have mentioned and reported other operation -- other operating income fell 5.6%. Analyzing the results of the different business and starting by Networks, its EBITDA reached EUR3,127 million, affected by several non-recurring items that impacted last year. In Spain, as I mentioned, the EBITDA increased 34% to EUR845 million affected by EUR195 million positive one-off in Q2 of '22 related to a legal case that was reversed at the end of '22. Excluding this, the EBITDA would have grown 2.2%. In Brazil, EBITDA grew 3% to BRL5,979 million driven by distribution tariff adjustments partially compensated by the consolidation of transmission assets included in the GIC deal from April 1st. In the US, IFRS EBITDA was 47% down to US$666 million due to a negative impact of corresponding to the $550 million positive one-off booked in the second quarter of '22 linked to the New York order and $87 million from the pension provisions both of them were accounted in IFRS, but not in US GAAP. The US GAAP EBITDA fell 3% to $897 million affected by the delay in the final approval of the New York rate case that as the Chairman has mentioned will have a retroactive effect or will be applicable since May 1st. Finally in the UK, EBITDA increased 10.3% to GBP513 million thanks to the ED2 tariff applicable from April onwards and higher asset base, especially in transmission. Energy production and customer business EBITDA reached EUR4,458 million. In Spain, the EBITDA was EUR2,060 million, 46% up with higher production, especially in hydro and nuclear and lower energy purchases at much lower prices than we had to pay last year and more gigawatts are sold in the free market due to a gain in market share. We have increased the market share from 40 -- from 22.6% to more than 27% in 12 months. In addition, there is 100 million positive effect in the gas management versus the first half of '22 and a negative due to the 1.2% tax in revenues that we account in the levies item of EUR216 million. In the UK, EBITDA increased 149% to GBP1.1 billion thanks to the collection of 297 million of past tariff deficit, which had a negative impact last year. In renewables, there is a 31% lower onshore wind output that reduces a little bit this growth. In the US, EBITDA increased 12.1% to $393 million driven by a 2.4% higher output due to new installed capacity as the Chairman has mentioned and better prices. In Mexico, EBITDA fell 3% to $453 million due to a lower contribution from renewable assets with lower volumes partially compensated by the new capacity in operation since May '22. In Brazil, EBITDA fell 10.5% to BRL838 million as contribution from new renewable capacity installed is offset by lower contribution from the thermal business. Finally, in the rest of the world, EBITDA grew 2.5% to EUR212 million due to a higher capacity in operation. EBIT was up 25% to EUR4.9 billion. Depreciation and amortizations plus provisions grew 5% to EUR2.6 billion mainly due to a higher asset base and activity and bad debt evolution due to the increased customer billing. Net financial expenses have been up EUR211 million to EUR1,127 million. Debt related cost grew EUR243 million, EUR123 million of this EUR243 million increase is due to a higher average net debt mainly due to the growth in CapEx and EUR118 million is due to a higher cost of debt, 60 basis points to 5.05% and 82 bps if you exclude Brazil. As a matter of fact, the cost of debt in Brazil is starting to fall as it is linked to inflation and we expect that this will continue to happen during the rest of the year. Excluding Brazil, the cost of debt was 3.68% despite the interest rate increases of 202 basis points, our growth was 82 bps as I mentioned, as Iberdrola has 75% debt fixed excluding NEO and forward-start swaps. 10% of the cost increase is linked to the increase in debt in non-euro currencies, as is the dollar, the Australian dollar and the pound. This has been partially offset by 32 million positive non-debt related results mainly linked to the FX hedges. Our reported credit metrics remain solid, 12 months FFO increased 9.7% to 11.3 billion above 8.6% average adjusted net debt growth. As a consequence, FFO adjusted net debt rose to 24.9%. Our adjusted net debt to EBITDA improved to 3.16 times and our adjusted leverage ratio was 43%. The EUR1 billion hybrid issued in March cover the amortization of the one maturing in May thus having a negative effect on our debt in the second quarter versus the first quarter of EUR1 billion. EUR45.3 billion adjusted debt net is not yet including cash inflow from ongoing deals expected to be cashed in before the year-end totaling over EUR6 billion that will drive expected full year debt to be around EUR42 billion. Our diversified portfolio provides flexibility to target the markets as the right timing -- in the right timing achieving very favorable conditions. Our new financing as today is EUR3.4 billion. During the first half of '23 Iberdrola continued reinforcing its financial strength with EUR3.4 billion of green financing reaching EUR50.7 billion of ESG financing and liquidity covering 21 months of needs and maintaining six years of average debt. Iberdrola continues to be the leading private group in green bonds. Net profit grew 21.5% to EUR2,520 million below the 25% EBITDA growth with lower equity method coming from Avangrid due to the offshore CIP reorganization in '22, I think, was around EUR218 million. That increases the tax rate but reduces the minority interest and EUR140 million in taxes due to a one-off negative linked to the Mexican transaction, net profit would have been 28% up excluding this impact. Now, the Chairman will conclude the presentation. Thank you very much.
Ignacio Galan: Thank you, Pepe. This set of results confirms our capacity to execute our plans ahead of estimate even in the current challenging macro scenario. With a 28% growth in net profit excluding the exceptional non cash item in Mexico, operational cash flow reached more than EUR4.7 billion in this month, 21% up, a further improvement in financial strength with a favourable adjusted net debt of 24.9%, our asset rotation plan 2025 fully completed in just three months and our dividend already above the floor plan by -- for 2025. On top of this, we expect additional upside in the second half of the year, driven by new rate cases, United States and Brazil with networks operating result increasing by around 15% and 7% respectively in the second half compared to the first six months, a new regulatory arrangement protecting for uncollectibles in US, Brazil and UK and will increase our renewable production driven by load factor recovery together with higher installed capacity and even a stronger balance sheet due to the cash generation from business operations and asset rotations. All this allow us to increase our net profit growth outlook to the second time this year to high-single-digit including additional capital gains for asset rotation excluding, sorry. We are -- so it's high single-digit excluding asset rotations. Capital gains. What is already can be very, very important I think in next few months. We are very confident that this will be the first step for the full delivery of the targets for 2025 and beyond. Thank you very much and now we will answer your question. Thank you.
A - Ignacio Arambarri: The following financial professional have asked the question that I will now put to the senior managers present on this event. First is Manuel Palomo, Exane BNP; Jose Ruiz, Barclays; Fernando Garcia, Royal Bank of Canada; Alberto Gandolfi, Goldman Sachs; Rob Pulleyn, Morgan Stanley; Javier Garrido, JPMorgan; Peter Bisztyga, Bank of America; James Brand, Deutsche Bank; Meike Becker, Bernstein; Jorge Guimaraes, JB Capital Markets; Fernando Lafuente, Alantra; Daniel Rodriguez, Bestinver; Mark Freshney, Credit Suisse; Javier Suarez, Mediobanca; Ahmed Farman, Jefferies and finally [indiscernible] from Berenberg. First question is related to the guidance 2023, can you help us understand the drivers of the guidance upgrade? How much is this sustainable and what do you mean by additional upside into -- in the second -- in the second part of the year. This is a sentence included in slide 34
Ignacio Galan: So I think, as I just mentioned. I think the new investment are increasing our asset base. We are reaching more than EUR40 billion unregulated. New rate cases in Brazil and in United State, in Maine and from July 1st in New York retroactively from May 1st. As well with a higher capacity recovery collectibles actually there's an amount of money will be included on that rent for collecting that rent. We expect, I think, as I mentioned, increase in EBITDA in the year in Maine of 15%, 16% in the second half. As well additional revenues for higher investment in the UK under RIIO-T2 and RIIO-ED2 frameworks. In energy production and customer, I think, is higher renewable outlook due to hydro reserves in line, the study collaborates levels once and as well we expect the normalization of the green factor under very low resource during the first half. We are -- we have another extra capacity already in operation in the last 12 months and we are going to put one more -- some more in service. We will continue recovery in the previous year deficit cumulated in the UK that we got SONET in the first half and we will continue some more in the second. And as I mentioned, further optimization of our financial profile of diversified once we will collect the asset rotation than we've been already making during this -- these months, so that's why, I think we make already our growth to high single digit for the second part of the year.
Ignacio Arambarri: Second question is related again about the guidance. Can you please clarify one thing on updated guidance. I'm assuming, it does not consider the capital gains from Mexico sale, but do you also eliminate the 140 negative impact in taxes booked in the first half of the year?
Ignacio Galan: So, certain is not included in Mexico. I think that you can already complete then, Pepe.
Pepe Sainz: Basically, what we are saying here is we're going to have a strong net capital gain. So this obviously excludes all the Mexican impact. The only thing is that we have to book this difference between tax and accounting due to the accounting rules. Now when we book the capital gain, at the end of the year, obviously this is part of the total net capital gain. So we are excluding the net capital gain, which excludes these 140 million and excludes the capital gain that we will book at the end of the year.
Ignacio Galan: In another words we already put in the negative part of the deal, another positive part of the deal. All the positive part of the deal will be in the second half and part of the negative -- part of the deal is booked in the first half of the year. The only one yeah.
Ignacio Arambarri: Next, pumping hydro assets seems to be doing very well. Could you compare the volumes and spread compared to historical records of pumping?
Ignacio Galan: Well, I think, we've been for many years, I think, you will reply that one, Armando but I think for many years, you were -- we were commenting about the storage, storage, the storage. I think we've been -- first we talk about -- when nobody talk about renewable, we talk about renewable. When nobody talk about grid networks, we talk about networks. We've been already for months talking about or for years talking about the storage and now people are discovering the storage, I think, but we have already 4,000 megawatt of storage. We have already 100 million of megawatt -- of kilowatt hours already. We have capacity enough for providing electricity during 20, 30 hours for dozens of millions of people. I think we just completed Portugal last year and we have several of those in Spain, because we are already making reversal of that one. And we are benefitting of this one in this moment, we are using our premises of pumping for already making that one, but I think, in terms of number Armando, would you mention the numbers, how much representing total in percentage of our production in the first half.
Armando Martinez: Good morning to everybody. Okay as the Chairman is saying, we are seeing our -- and you can see in the annex of the presentation that our reservoirs levels is 33% is much in line with the average of the five-year. So we are expecting a normalized year in terms of the hydro. And the Chairman is saying, pumping storage is very important for us and for this year, the six months, we have produced 8 terawatt hours of hydro, most of them at 3 terawatts is pumping hydro. So it's working very well and it's allowing us maintaining the reservoirs of the -- for the second -- for the second quarter.
Ignacio Arambarri: Next, what is your CapEx expectation for the year as a whole, 2023 and how should we think about CapEx for the next year 2024? Could you consider delaying some of the investment included in your strategic plan considering the cost inflation suffer up to now?
Ignacio Galan: Well, I think, as I mentioned, we are expecting between EUR11 billion and EUR12 billion by the year end. So which I think is yes already mentioned that we are completing, we have 7,000 megawatt under construction in this moment. Some of them is going to be almost completed during the second part of the year like Saint Brieuc in France or another ones. In Networks, we continue increasing our investment. I think I mentioned the rate cases of New York and Brazil. In the case of New York where it's increased, in Maine as well, an important increase of CapEx, so I think that is what is going to drive that one. And I think relating to next year, I think there's still the numbers of the budget is not. But I think, Pepe, if I don't remember about the numbers we gave, the plan of organic investment is on the same level, EUR10 billion, EUR12 billion per annum. So I think it's going not to be very different next year than we are expecting for this year, for next, but still, we have not the detailed numbers or the budget, but I think it's going not to be very different, the organic one, as we have already -- we are going to have during this year.
Ignacio Arambarri: Next, about the debt at the end of the year. The net debt guidance for 2023 in the Q1 results presentation was below EUR50 billion, including PNM. Does the new target of EUR42 billion imply an increase due to the higher CapEx? Or does it mean its expectations have not changed?
Ignacio Galan: Pepe.
Pepe Sainz: No, I think the expectation has significantly improved. Let me explain. We were expecting with a PNM deal to have a debt of around -- at the end of the year of around EUR55 billion, EUR56 billion. If you took away the impact of PNM, our debt, as we were saying, was around EUR49 billion. So what we were saying, below EUR50 billion, we're talking about in the high 40s. And now we are talking about EUR42 billion. So this has significantly improved the debt outlook for the end of the year. So from around EUR48 billion, EUR49 billion, excluding PNM, to around EUR42 billion by the end of the year.
Ignacio Arambarri: Next, please, can you comment on the political situation in Spain and how it may impact Iberdrola?
Ignacio Galan: So as you know, we have already had elections. So I think after this election, I think we have a process. We have to be making in the next few months. This process starts for the constitution of the chambers. And afterward elections of the -- which is going to be the new government, the Prime Minister and new government. That is going to take still a few months. So I think that is not immediate. Now once that will be already made constitute this new bill or form this new government, I think we will know what is the policies that are going to apply. But I think the things which has affected ourselves, the most important thing is all the things related with the energy, let's say, European, common European rules of that one. And I think we are already a member of the European Union, and I think the rules, which is going to be applied in Spain, are those rules, which are already just defined in Europe, by the way, which I think Spain has already made proposal on that one. And I think the -- as I mentioned, not only European Commission has already defined their framework, but as well the European parliament as well has already defined. And by the way, that one, we was already hearing that one. The Chair of this committee is already in Spain, it's belonging to the Socialist party, which I think is -- we are -- means that the European -- the Spanish proposal is synced and case has been already just approved as well. We will expect that one. And I think we are not expecting things which will be outside of those one will be the common European rules.
Ignacio Arambarri: Next, could you please share your views on the recent PENIAK draft sent by the government to the European Union? Do you see it as feasible? Would you rethink upwards or downwards your investment in Spain as a consequence of such an aggressive draft?
Ignacio Galan: Well, I think as you know, we've been already pioneers in investing in renewable. We've been pioneers in the carbonizing. We've been pioneers in talking about the needs of investment in networks, to talk about investment in storage. And I think that this plan is very ambitious, is very ambitious. I think it's -- that means the record of construction, renewables per annum in Spain has been on the range of 5,000 megawatts in a year. And now this one represents more than 10,000 megawatts in a year. So I think is very ambitious to be achieved. But for me, it is not the point of what is ambition in terms of decarbonizing the economy. It's how -- what is going to be the demand generation of that one. So what is going to be the stimulus for already decarbonizing a lot of segment, a lot of sectors for already providing and supplying this electricity generated on that one. Being difficult to build all those one, but the most difficult of the thing which is going to need already to analyze in more detail is how it's going to grow the demand, what measure is going to be taken for the carbonation sector and the segment. We make sure already that to fit the offer with the demand and to make already attractive to make all this renewable because if they have no demand, the renewable is going not to be built. So I think for me is at this point. The second point, which I've seen is not -- which is already on the documents of the European Commission related to the market reforming so, is the need of grid more renewable -- sorry, more grid for connecting more renewables and for providing the service, electricity service for those areas that will like to be the decarbonized industry or residents. So I think they already left that area, which is needed already to put more emphasis in the need of more grid. And the third one is for the clarity about storage. I think as a system, very dependent, fully dependent on renewables, or most dependent on renewables require, first, demand for that one. And the second one, because if there have no demand, the investment is going not to be made is clear. And the second one is related to the grid needed for the one in the storage. Storage for -- already for matching the needs of demand when they are not already enough renewable reserves and storing the electricity going into an excess of production. So there is the three areas we are doing it. I'm sure that during the dialogue that is going to be maintained in the next few months, all these areas is going to improve.
Ignacio Arambarri: One of our peers commented on the negative impact of curtailments on the Spanish renewables output. Has this situation impacted Iberdrola? Do you believe this could be a problem in the future?
Ignacio Galan: So the first thing is has -- the answer to the impact on Iberdrola is no. And why not? Because you know that is already -- that is the technical bottlenecks in the nodes of the grid. Unfortunately, our renewables are located in areas where that node doesn't exist. So we have not already had an impact on that one. By another side, I think, when they are ready situation of those ones, in some cases, are impacting to the market prices and the impact to the market prices, I think, is when our storage works. That's why Armando was already mentioned our pumping storage facilities are already producing more than another time because we are precisely as I mentioned as well in the previous question, we are already in the moment their excess of electricity. We are already pumping water for already using this in the moment they are already deficit of production. So there is no effect in our nodes and no problems of curtailment because our power plants are located in areas where they are not already bottlenecks in the nodes to the grid.
Ignacio Arambarri: Next is some peers have been positive about faster renewables development in the European Union. Do you see the same and how confident do you feel about your 2025 targets? Number nine.
Ignacio Galan: It's --
Ignacio Arambarri: About renewables and development in the European Union?
Ignacio Galan: Yeah, well, I mentioned, I think that already, I think has a lot of advantage. One of the main advantage is related to the capacity of the possibility of transforming our existing fleet of renewables and winds particularly to main REPower, what makes, then we can already benefit or the full tax credit or the full new production, which is more production than the previous one with a new technology -- with a new -- the grid REPower we make with a CapEx half of the new power plants. So I think that is the big advantage. So it means, been already a first mover in United States give us an advantage that at least in this moment, the first analysis probably is going to be more at least half of our total fleet is able today to be REPower. So I think that is a positive thing. So the themes for already accelerating to do something like in European Union. So I think that should be a good thing, but nevertheless, the -- Europe has not rate, but we have already the fifth or 55 in the next -- and the funds we want allocated for the next generation funds. I think next generation funds we are allocating 40% of this generation funds were already fully dedicated for energy transition, so it means, I think if it's properly allocated, I think we have as much money as the Americans as planning for already improving, already the mix of our generation in Europe. So I think, I can tell you for instance that recently we just got 150 million subsidy for making already a green methanol project plant in Galicia in August in Spain. So precisely because of these funds, which is the next-generation funds. So, and I think, we are expecting another similar one for green hydrogen would have been approved by European Commission is that the huge project in the South part of Spain for making green hydrogen and green ammonia and we are expecting as well something like. I think the money is allocated, the point now is how to accelerate the procedures and the climate for making that happen as soon as possible.
Ignacio Arambarri: Next is you highlighted that no caps to infra-marginal technologies are considered in the power market reform in the European Union one, do you still expect Spanish price cap to end at the end of this year and how much could you benefit from this in 2024?
Ignacio Galan: So I think the European Commission has clearly assessed their energy measures such as the cap on infra marginal technologies, still not become part of electricity market design. So I think that is not part of the design, in any situation, the extraordinary situation is happening again. I think is needed and that is already been during several months. It has to be approved by European authorities. So I think, it's not just because one day the prices are moving for whatever reason is several months in a consistent manner. They are already -- there will be a situation of pricing, which allow the member state to ask the European authorities to approve a European-level an extraordinary measures, but I think the existing measure is gone. That's it.
Ignacio Arambarri: Next, are you seeing more interest from governments in promoting the development of transmission infrastructure? What is the current status of Iberdrola's big transmission project in UK, US and Brazil?
Ignacio Galan: Well, I think you don't mention, one important project which is needed is more interconnection between Spain and France. So I think that is a crucial one. So unfortunate that is not dependent on ourselves. But I think that is very needed. In those that we are already is managed for ourselves I think in the case of Britain I think we just completed. We are the owner of the grid, of the transmission grid our partner terms agreed in Scotland. And I think we have been fortunate with that one, but as well we just completed two years ago an Interconnection transmission line somewhere in one. The first one has been made in Europe on these conditions between Scotland and Wales and that is what is called Western Link, now is already another project, which is already just funded by the regulator, which is the Eastern Link. We are just providing the data of amount of money required. But that is going to be made under the real RIIO-T2 conditions. So in the same condition, the framework of the existing transmission in UK and that is represent roughly is a total investment over 2 billion, which as you know around 1 billion is upward part of it and other part is National Grid. So as the same joint venture that we have already for the Western Link is the same, joint venture for the Western Link. I think that is already ongoing. I think we are in the process of this one. I think the first order has been passed to vendors for -- is high-voltage DC and the fresh order of cable et cetera has been passed. They are another projects of similar ones, which is I think NCC, the interconnection between Canada and Massachusetts, now with all the permit, all the approvals and we are just proceeding and continue the construction. There are certain potential deviation in the CapEx because of the time lost, but I think the Parliament of Massachusetts has already approved the rules already for covering the framework for giving us the comfort to recover the extra cost we can incur as consequence of the time lost. They are new as well another transmission in New York as I mentioned, is New York Transco which altogether can really represent 3 billion, up to 2030 for injecting electricity into New York City. And I think we are as well in this with a joint venture with another colleagues in United States and in the case of Brazil, as you know, we have already, what we are -- we are building soon a transmission -- 8,000 kilometers of transmission line and several substation. We were already awarded in the auction in 2018, I think, 2019. And I think that is construction presale in those one, we make a -- just a deal with GIC that we are already 50% partnership on this one, for constructing that one. Equal electricity auction in Brazil, I think the prices with certain of our colleagues got offerings were so low that we decided not to continue on this -- not to participate in such a condition. So I think we are very -- we have a huge discipline, financial discipline and I think same thing we did already in the auction for seabeds in Germany that has been paid an important amount of money which I'm very pleased and that our colleagues of oil is already moving to this -- to the sector. But I think, we saw that that is too expensive and we are not seeing that done in our -- with our vision is more conservative than the vision they have about the future prices, which have been that is make them not, but I think the main transmission is the project in Britain, as you -- as I mentioned, project in United States and NCC in Transco and the existing project of transmission in Brazil altogether I think is very important amount of money what we are going to dedicate in the next few year which is several billion euros, I think, is -- each of those project is EUR1 billion, EUR2 billion, EUR3 billion each so which I think is lot of money.
Ignacio Arambarri: Next one is, they are asking about an update on the PNM deal.
Ignacio Galan: So Gerardo, perhaps is more -- I think I can say on the side of the shareholders, on the side of the partners, I think the agreement has been extend. So I think we've agreed with PNM to extend the agreement, the existing agreement to year-end and with the possibility of extending for a few months later on, if it's needed. But I think, Gerardo, you can -- a lawyer, you can already explain what is the legal framework how did this.
Gerardo Calatrava: Yes, we will have a hearing in September, it will take place in September 15 about -- before the --
Ignacio Galan: Hearing with the Supreme Court.
Gerardo Calatrava: In the New Mexico Supreme Court about the approval of our stimulation and we expect that decision will be positive and because we think that we have a very, very strong case. So we will -- we expect to have enough time to completing the transaction on time and also it's important to highlight that we have all the approvals, we have the FERA approvals, Texas approvals and 24 parties in New Mexico support the transaction. So we have -- do I think a good progress and we'll see what happens in September.
Ignacio Galan: We are optimistic that by the year end that will be completed.
Ignacio Arambarri: Next question is related to the rate cases in the US and Brazil. Can you give details on what upside you are expecting from rate cases in New York and Brazil? In New York, what have you proposed in terms of revenue growth and allowed cost of equity? When are decision expected?
Ignacio Galan: So as I mentioned, in New York, we are already reached an agreement with a settlement with staff of the regulatory commission. We are expecting that in the next few months, I think that decision will be taken in any case that is retroactive as I mentioned is the terms are I mentioned already is return on equity over 9% and I think, if that is approved, our -- we will increase our because of this one in our EBITDA in the range of 15%, 16. In the case of Brazil, that has been approved, in the case of Maine, is fully approved. So I think that is done. I think that's well is return on equity above 9% and I think that is increasing our investment, I think, very much the way it was before. And that will provide already an increase in our contribution to our EBITDA in the range of 20% to 30% and extra per annum to what we have already in 2022. And in Brazil, it has been agreeing for all those one related to the Northeast, so and I think in the case of Sao Paulo, I think is we are expecting already that well to reach an agreement by August for a period of 2027 and another one reach up to 2028. In both cases, we are expecting increases, as I mentioned in revenues in the second half towards the previous one. The previous half is 7% to 8%.
Ignacio Arambarri: Okay. We have reached one hour of the presentation. But due to the high number of questions we have received, I hope that you will allow me to extend the presentation 15 minutes more. Next question is related to PPAs and is -- can you provide an approximate indication of where you see PPA price for offshore wind in Europe currently also can you elaborate on PPA price trends on onshore solar in Europe and US during Q2?
Ignacio Galan: So you will give the numbers, Armando, but I think, something which is important, when we start talking about the importance of PPAs and the visibility for industries and visibility for consumers, long-term visibility, I think, it was something in many cases for Europe that was very normal in the state. Europe was not common, so you remember last year, we are talking about the situation of prices, et cetera. I said, well, we have already fixed prices. It's already sold and that is what we already just telling you. We have 135 terawatt hours per annum already for the next few years already sold in advance and that -- that's very good. And what we are observing in Europe and that is what I make already in my presentation is increase in demand for largest consumers of signing agreement, long-term agreement we provide an stability and visibility, and that is good for them, it's good for us because that gave us well this predictability for making already our investment in terms without avoiding risk case of future risk case and I think there is -- will be already to make the things in -- to make the construction and the delivery and the operation in a good manner. So I think that is what we are observing. That's why we are already signing with large corporation, multinational corporation, which are already saying once in United States and in Europe and in Europe across the different countries and I think that is what we have seen, so and that is the rules that precisely European Commission in the new -- in the terms of the market reform that had been approved by the Committee of the Parliament and the European Commission is trying to promote more PPAs, more PPAs, to provide stability for the consumers and predictability for investors. So, which are the prices, what you are signing now Armando?
Armando Martinez: And we are seeing prices. We are already active in PPAs in Europe with -- as with multinational companies and we are seeing prices around EUR70, EUR80 per megawatt hour.
Ignacio Arambarri: Next is very short question, are you comfortable in UK supply now?
Ignacio Galan: Sorry?
Ignacio Arambarri: Are you comfortable in UK supply now?
Ignacio Galan: Well I think it's -- look, we have this year, I think, we've been suffering during last year situation very particular in retail, is not normal than a country that because of the regulatory framework, 30 retail -- retailers has already failed. So I think now, the situation is more stable, more predictable. We are recovering the deficit generated in the past and the market in this moment is more stable. So I think, seeing the demand in this moment, I think we are short in energy. So which I think that is -- it's important to note that's why we are already investing more into make more -- more renewables in the country. But I think we are not to expect any problem in our projection on that one. I think our projection is already, just conservative in this end. Another thing you have to know that in Britain, our business is Networks. So I think 80% of our business is networks is where we have already more and more interest and more -- the one in retail, I know, this part is very -- a small part of our total thing and in the case of production, most of our production is covered on the -- regulated CFD tariff, so which I think, as well is not been affected for whatever thing related to demand on that one.
Ignacio Arambarri: Next is regarding to the German -- recent German off-shore auction, could you comment on your bid in the German offshore wind auction and your view on a long-term power prices for 2030 and beyond?
Ignacio Galan: So first I said, welcome to our colleagues of oil companies to be ready in this sector. So I think it's -- they are our partners, and certainly -- and we are partners with BP in for electric charges, for -- electric vehicles, we are partners of Shell for offshore in Britain, and I feel delighted and they are already been seen more optimistic prices that we are seeing and that why I think that allow themselves to already offer a higher condition for the seabed and we will be ready to offer for that one. So nevertheless, I think, we have already plenty of seabed available in different countries. And so that why we are not -- we don't need to make already just this sort of move. So I think sure than the -- the prices they have been offering of that one with that of repaying 30% or 40% of the CapEx already in terms of the -- for this event that's, let's say, is very good news for us because it means those, what we have already got at almost zero that has much more value. So with I think that's positive
Ignacio Arambarri: Is Iberdrola seeing improvements in permitting from renewables in Spain or UK get as peers have highlighted. The permitting process in Spain and the UK if it's improving or not?
Ignacio Galan: The permitting, well, not much, I would like to say, not much. They're certain moves in trying to define areas in which we will be already not needed to pass through the slow process, we are already having at present. So there is some move at European level in the different countries to try to accelerate this process. But the reality today is still in my opinion it's too slow.
Ignacio Arambarri: Next is regarding offshore, there have been companies droping projects in UK offshore for prices on returns. Where do you see offshore IRRs currently in the UK and in the North Sea or the Baltic Sea?
Ignacio Galan: Well, it's true that I think, you are commenting about some companies, I imagine you are talking about Vattenfall who was our neighbor already in East Anglia. So I think the effort they done, precisely what we have already done in the United States, and there are very many others who has already followed us. I think the terms of the auctions already make a few years ago, were absolutely different of the prices of today. We have to pay for the equipment. The equipment is much more expensive. The inflation is affected to the labor. The cost of the vessels, et cetera, has increased, and that is a reality. What happened? I think in our case, in East Anglia THREE, we had the fortune to fix all those terms just a few days after we won already the auction. So -- and that makes then ourselves, we are in a different position than others in this respect. That is not already happening in the state because there it's impossible to fix the terms because when you gain an auction, still you have another project itself. And it takes five, six or seven years before you get the permits, and you have the -- and you have all the design, the proper design of the wind farm. In the case of Britain, it's different. I think when you made the auction, you have the consent. And the consent means you have an approved project. You have already made a deep analysis of all the terms, of the seabed, on the transmission, et cetera, et cetera. And you are allowed to reach agreement with vendors of equipment just prior of the offer and fixing that one just 24 hours after you gain the auction. And that is what is happening. What are the terms? I would like to say, in our case, if we go ahead means that it's already reasonable returns, and you know the return for us is WACC plus 100 -- 100 to 200 basis points.
Ignacio Arambarri: The US IRA is a positive. When would you expect to have clarity and could it cause an upswing in investments? You are considering repowering 4.6 gigawatts on wind farms in the US. Should this decision trigger an impairment of the value of the existing assets, how much CapEx would you need? And how much incentives do you get with the IRA? Question one.
Ignacio Galan: Well, I just mentioned before. I think the importance of that one is that we can already build or repower the existing fleet at half of the cost, of the half of the CapEx of the new one. And we will be allowed to receive the 100% tax credits and subsidies same if we may brand-new. So we made more production with the new repower, much more production because we put already new turbines. And we will keep already quite a lot of existing equipment, so which is tower and connection and transmission and all those things. And I think we receive 100% of subsidies in advance. So that one is highly valuable that one. I think that is a positive cash flow generated from the very beginning. And I think that gave already an extra value, but the extra value to our fleet of megawatt, existing megawatt in the United States. So I think that is a big advantage for those we have been first mover in the state toward those one which are now done in the country. With the new one landing in the country, they are allowed to receive these IRA subsidies, but the CapEx they have to make is double than the CapEx we have now. The second thing is that we have already the customer, so the PPA, what is already signed, we can already extend this PPA, of course, in the renegotiated terms, but we don't need to look for the customer because the customer exists. So I think it's the commercial side is done. And in economics, I just insist on that one. We can increase 20%, 30% the production of the existing ones with a CapEx, which is half of the CapEx or the brand-new one.
Ignacio Arambarri: One regarding the US offshore and the position of Iberdrola in US offshore, what does Iberdrola stand on US offshore wind number 20?
Ignacio Galan: The offshore.
Ignacio Arambarri: What is the position -- what position regarding?
Ignacio Galan: Well, in the United States, I mentioned as in Vineyard Wind. I mentioned already the first offshore wind farm, which has been built in the state. The first one, which will be in operation. I think we are or in this moment, we are fixing the foundations and I think -- and that is going on. The cable is already made and that is going on and we expect minimum this year the fastest port of electricity. In another two project, I mentioned already, Massachusetts, we just got the agreement of -- with the buyers, which are the distribution companies on Massachusetts to cancel our existing contracts. And I think that means that we can already make to the new auction, if we will -- if we like while free to -- to make already new deals with that one. And in the case of Connecticut, which is another -- another auction. We are negotiating new terms with the regulator of Connecticut with the Government of Connecticut for the -- for making that already buyable.
Ignacio Arambarri: Next question is there are -- there has been talk about potential life extension for nuclear plants in Spain. Could you be open to this? And do you see the recent European Union discussion on mechanism to incentivize these going in the right direction?
Ignacio Galan: Well, in Spain, we have already a protocol signed for closing I think up to 2035. So I think this protocol exist and I think is something that we like to respect that one, but if the power plant are able to be extended as in other countries, so technically it's possible then these power plants continuous their production and their activity with certain investment. Of course, then we will need to renegotiate the terms for making that already the ability of that one. So I think, technically it's possible, economically it's a question of negotiating and the system, well, will be more relax if they exist, if they don't exist, so I think that's clear. But I think we are not making the energy policy, those one which are making energy policy have to look already with that advantage, I think, technically it's possible, economically it's a question of negotiated. They are not a country which are doing and the system operator is that one we have to look if that is needed for the stability of the system or not. I think this is something, which I think as an engineer, I can't give you my opinion, but I will not give to you any opinion on that one.
Ignacio Arambarri: Next is on asset sales following the very active first half of the year. Are you considering selling additional assets, if so, could you prefer minority stakes of our entire assets?
Ignacio Galan: I think we had completed 100% our asset rotation. So I think that's clear. We make already in our plan, we said that we're going to make 7 billion asset rotation. And that is not so, which I think the plan is the plan. So but I think in the plan was as well another area which was of course partnership and partnership well means is co-invest with us, and co-investing which terms, co-invest in short terms in minority equal, majority it depends case by case. But I think, what we would like to benefit or to use our capabilities, our experience our know-how for already accelerating the growth without being forced to use already resources coming from our shareholders. And I think we would like to make these partnerships in such a way the others help to us to make our growth without being forced to us for increase in share capital for already benefiting of the potential demand -- extra demand of renewable or transmission or whatever, what we have today and probably we are going to have tomorrow. That is our plan and we will continue. We focus on partnership, but the best money has already done.
Ignacio Arambarri: And finally, last question comes from Stein Birkeland from Norges Bank and is related to update him on the barriers green hydrogen projects of Iberdrola. How they are progressing?
Ignacio Galan: So thank you. I think, as you know, we have 60 projects in this moment of hydrogen in eight countries. We have projects in Spain. We have projects in Eurasia, in Brazil, in Australia, in Portugal, in many countries. So -- and I think, as in the case of Spain, I think you know that we -- as I mentioned, we've been awarded EUR150 million for making a green methanol project. We had already before a small subsidy already EUR5 million, EUR8 million for making a test of that one. Now it's an industrial one. It's already EUR500 million CapEx of this power plant in the Northwest of Spain for making that one. And we are expecting already the big investment, what we have already planning to make in the center and in the south of Spain for making a green hydrogen to make green ammonia, the project is completed. There are similar one in Portugal. In the case of Spain, has been approved, the subsidies by the European Commission, and we are expecting the allocation of these subsidies by European -- by Spanish authorities. I imagine that the new government, the moment it will be formed, I will -- they will accelerate all these things. But the money, it's been approved. The project has been approved. Our project have been approved by European Commission. And I think that is a question only to see if the amount of money has been allocated for Spain for this proposal is going to be given to us totally, partially, et cetera, et cetera, we will expect that the new government is going to provide that one, but the project is ready for that one. And we continue with the many, many and other small ones that we continue making those one in the areas of all kinds of things. So but the large project, you mentioned those ones, which require hundreds of billions of euros are already ready, but pending of this support from the European funds, with the exception of green methanol who has been just approved in that one in the last two weeks
Ignacio Arambarri: Okay. Now, please let me now give the floor to Mr. Galan to conclude the call.
Ignacio Galan: So thank you very much for taking part in this conference call. I wish all of you a very good summer for those that have the chance to be on holidays. And I hope that after these results will allow us to take some time over the next week to continue already sharing whatever comments, I think, even if we will be in the holidays, our Investor Relation will be ready as always to be in touch with you to reply whatever questions you like and if there is any news, new news in the next -- further better or new -- good news in the next few days or weeks, I think they will be ready to share with you as well with the others. Thank you very much and happy good holidays. Thank you.